Disclaimer: *NEW* We are providing this transcript version in a raw, machine-assisted format and it is unaudited. Please reference the audio for any questions on the content. A standard transcript will be available later on the site per our normal procedure. Please enjoy this timely version in the interim.:
Operator: [00:00:00] Ladies and gentlemen, thank you for standing by and welcome to the Loews corporation third quarter 2020 earnings conference call. At this time, all participants have been placed in a listen only mode. And the forum will be open for your questions following the presentation. If you would like to ask a question at that time, please press star one on your touchtone phone. If at any point your question has been answered, you may remove yourself from the queue by pressing the pound key. If you should require operator assistance, please. Press Star zero. Oh, now turn the call over to Mary Skafidas, vice president of investor relations and corporate communications for Lowe's.
Mary Skafidas: [00:00:43] Thank you, Laurie, and good morning, everyone, and welcome to News Corporation's third quarter earnings conference call. A copy of our earnings release, earnings supplement and company overview may be sound on our website. Lows dotcom on the call this morning, we have our chief executive officer, Jim Tisch, and our chief financial officer, David Edelstein, following our prepared remarks. We will have a question and answer session with questions from shareholders. Before we begin, however, I will remind you that this conference call might include statements that are forward looking in nature. Actual results achieved by the company may differ materially from those made or implied in any forward looking statements due to a wide range of risks and uncertainties, including those set forth in our SEC filings. Forward looking statements reflect circumstances at the time they are made. The company expressly disclaims any obligation to update or revise any forward looking statements. This disclaimers only a brief summary of the company's statutory forward looking statements, disclaimers which is included in the company's filings with the FCC during the call today. We might also discuss non-GAAP financial measures. Please refer to our security filings and earnings supplement for reconciliation to the most comparable gap measures. There has been a slight modification to our earnings call format that was made in response to shareholder feedback. For a number of years now, we have taken questions from shareholders on an earnings call, either by incorporating the answers into our prepared remarks or answering them directly during our Q&A session. Recently, we've heard from shareholders that they prefer that we answer questions in the Q&A portion of the call instead of moving them into the prepared remarks. And we're happy to comply with this request. As a result, we will have a longer Q&A session. With that, I'd like to turn the call over to our CEO, Jim. Jim, over to.
Jim Tisch: [00:02:43] Thank you, Mary, and good morning. Let me start by focusing on capital allocation, specifically share buybacks. During our second quarter conference call, I emphatically stated my strong belief that the market was significantly undervaluing the shares. I also stated that while those plans to maintain a substantial liquidity position as our rainy day fund, we also would take advantage of the market's discount and continue to buy back our stock during the third quarter. We did just that, purchasing over five point four million shares of loans for about one hundred ninety five million dollars, while preserving ample liquidity and ending the quarter with about three and a half billion dollars in cash and investments. Maintaining high levels of liquidity is fundamental to our business model because it lets us both capture opportunity and withstand uncertainty and it's like any portfolio manager. We have to balance, retaining our liquidity with taking advantage of investment opportunities as they arise. Buying back shares is one of Lowes three capital allocation tools, with the other two being investing in our subsidiaries and buying another business with our stock trading considerably below our view of its intrinsic value, share repurchases have recently been our most attractive capital allocation option. That being said, our decision to buy back stock has not come at the expense of any of our subsidiaries. For example, we have provided capital to Lowes Hotels to help but ride out the effects of cozied on the hospitality industry. [00:04:33] All three other subsidiaries, you know, Boardwalk and Altium and Packaging have not recently required parent company capital. Instead, Boardwalk and Altium have largely used their free cash flow to finance growth opportunities. And CNN has chosen to pay dividends since it hasn't had a need for additional capital, as Mary mentioned during the Q&A. We will be discussing topics submitted by our shareholders. However, I did want to highlight two key items up front CNN long term care business and the situation that most hotels. Starting with CNN before he got into long term care, let me emphasize that CNN is under the underlying property casualty underwriting performance for the quarter was stellar. The company had an underlying combined ratio of ninety two point six, compared with ninety four point six in last year's third quarter due to improve loss and expense ratios. Property and casualty pricing momentum continues with rates increasing over 12 percent in the third quarter, compared to an increase of just under six percent for the same period last year. With respect to long term care, my guess is that is long term care exposure is a significant reason why CNN's valuation wise, its peers. We are closer comfortable with the reserves that CNN has set up for long term care. The company has been proactive in managing the long term care business and prudent in their approach to setting LTC reserves. [00:06:21] In the third quarter, FEMA took an LTC net reserve charge of thirty seven million dollars before tax, comprising a 74 million dollar active life reserve deficiency offset by a thirty seven million dollar claim reserve release. The active life reserve deficiency resulted from the continued low interest rate environment and its impact on future assumed reimbursement rates. In my opinion. CNN is taking a conservative view on future interest rates, which hopefully means that they will not have to adjust for lower interest rates again going forward. Since the end of 2015, Sienna's overall exposure to long term care has been reduced by 31 percent, with the number of active policies declining from four hundred and nineteen thousand to two hundred and eighty eight thousand. So why are we so confident in Sienna's management of long term care, even in the face of the market skepticism? Because we know that over the past seven years, CNN has been laser focused and immersed in their long term care book of business. For the six years prior to becoming Funi, chief financial officer, Amaral's was head of long term care at the company and did an outstanding job mitigating the LTC risk for CMA. And the team in place today continues to do so. CNN has managed more than 100000 long term care claims today, providing CNN with reliable claims experience across all policy types and age cohorts. [00:08:10] CNA reviews its long term care reserves in the third quarter of every year, and they post significant information regarding their review on the CNN website. If you have not already done so, please take a look at the information that they make available. Now for the second topic, I want to cover those hotels. The fallout from the current pandemic continues to negatively affect the travel and tourism industry, and Loews Hotels is no exception. We believe and hope that the second quarter was a bottom for the hotel industry and we have seen business pick up and Loews Hotels since then, while occupancy rates are still low by any historical standard. Twenty one of those hotels, twenty seven properties had resumed operations by the end of the third quarter. The resumption of operations, combined with significant expense controls enacted by Loews Hotels Management, have improved the company's cash flow situation. When the pandemic struck and Loews Hotels substantially suspended operations, we estimated that the company would generate negative cash flow of approximately twenty five million dollars per month while still negative. Those hotels with cash flow is much improved going forward. We do not expect Loews Hotels as cash needs to be material to those corporations balance sheet. And with that, let me turn the call over to David.
David Edelson: [00:09:50] Thank you, Jim, and good morning, everyone. For the third quarter, Lowe's reported net income of one hundred and thirty nine million, or 50 cents per share, up from seventy seventy two million or twenty four cents per share in last year's third quarter. The quarterly increase was driven by Santé, whose net income contribution doubled to one hundred and ninety two million. Let me provide some brief highlights on Sienna's quarter for more details. We encourage you to review the transcript from the company's investor call earlier this morning. The year over year earnings increase that Seanna was driven by two main factors. One, lower net reserve charges, Encinas life and group business associated with the long term care and structured settlement businesses and to higher net investment income and net investment gains. As Jim mentioned, Sienna's core property casualty business posted robust premium growth and strong underlying profitability in the quarter. However, total PNC underwriting results declined from Q3 2019 because of higher weather related catastrophe losses. [00:11:08] Catastrophe losses for the entire U.S. property casualty industry were elevated during the quarter led by three hurricanes. And the Midwest during the Western wildfires were also an industry event, but had little impact on CNN. Before leaving Santé, I would draw your attention to the company's rock solid investment portfolio, which at quarter end had a market value of forty nine billion, an average credit rating of single AA and a net unrealized gain of five billion dollars. About 94 percent of CNN fixed maturity investment portfolio is investment grade. [00:11:52] Again, please see CNRS transcript and shareholder materials for more details. Even though Diamond Offshore ceased being a consolidated subsidiary of Lowe's in this year's second quarter, it helped drive our third quarter year over year earnings increase during last year's third quarter. Diamond contributed a net loss of forty eight million, while this year Diamond's results were no longer included in our consolidated net income. Let me now turn to our wholly owned subsidiaries, Boardwalk, those hotels and Altium packaging. Boardwalk's net income contribution decline declined from twenty nine million in the prior year to 20 million. The company generated quarterly EBITDA of one hundred and sixty seven million versus one hundred and seventy five million last year. Net operating revenues were down, slightly expiring, natural gas transportation contracts were recontracted at lower rates, which was expected and planned for revenues from growth projects recently placed in service together with storage and parking and lending revenues offset much, but not all of the decline. As a reminder, Boardwalk has experienced contract expirations and restructurings over the past two years related to pipelines placed into service 10 to 12 years ago, this recontracting activity essentially concluded by year end twenty nineteen. Boardwalk's increased asset base from its growth projects led to an increase in expenses, especially higher depreciation and property taxes. Additionally, the expiration of property tax abatements contributed to the year over year increase in expenses. [00:13:52] Despite the covid-19 pandemic and significant hurricane activity along the Gulf Coast, boardwalk's operations were minimally disrupted during the quarter and the overall financial impact was negligible. The hurricanes and resulting power disruptions did impact certain customers, but the revenue impact of these disruptions on Boardwalk was immaterial. Let me highlight that both CNN and Boardwalk took advantage of the robust fixed income market in Q3 to raise money at attractive rates. Both companies issued 500 million of 10 year notes, with Sienna's yielding 2.8 percent and Boardwalk's three four one percent. Both deals were vastly oversubscribed and reflected investors confidence in their respective credit. Jim already spoke about Loews Hotel, so I will be brief. The business reported a net loss of 47 million in the quarter, excluding unusual items. The net loss was fifty five million adjusted EBITDA, which excludes unusual items and includes Loews Hotels. Pro rata share of it in properties was a loss of 38 million. Loews Hotels Management is focused on two interrelated objectives, one, reducing the cash flow drag and two, resuming operations judiciously and effectively. The company has aggressively reduced expenses, rightsize its capital, spend and worked with lenders to defer interest in principal pay downs. It is reopening properties when management projects that doing so will improve cash flow. As Jim mentioned, we believe that those hotels turn the corner in Q2 and is on an upward trajectory, the average monthly cash flow drag is well below the 25 million we estimated during our Q1 earnings call. [00:16:01] The exact timing of a return to profitability and positive operating cash flow, however, depends on the overall travel environment. But we believe those hotels properties such as those in Orlando, Arlington, Texas and Miami Beach are especially well positioned to participate in the travel upswing that has already begun. Altium packaging, which is included in corporate another, had another good quarter demand for the company's products continue to be strong overall, higher on covid-19 related product segments such as household chemicals, beverages and personal care, and somewhat weaker in segments such as automotive, commercial foodservice and school dairy. Moreover, Invision, which is the company's recycling business, has been experiencing its best performance since it was acquired by Altium in 2014, driving this performance has been stronger demand for recycled plastic, also known as post consumer resin. Altium contributed a slight net loss despite its robust EBITDA. I would highlight three factors depressing net income, one significant depreciation and amortization expense attributable to the company's recent acquisitions to accelerated amortization of the consolidated container trade name, which will be fully amortized by the end of the year. And three the effect of rising resin prices in Q3. Since there is a contractual lag in old Sam's ability to pass through these costs to customers, the company absorbed the cost in the quarter without recognizing the offsetting revenue. [00:17:56] This large is temporary and will reverse as the costs are passed through to customers. All teams focus on new businesses bearing fruit and should benefit results in future periods. The company has been very successful over the past months in gaining new accounts by demonstrating reliability, continued and innovation and customer focus during this difficult covid period. Turning to the parent company, pretax net investment income was twenty three million, down from thirty six million last year and 110 million last quarter. The year over year and linked quarter declines were driven by returns on equities and LP investments. During Q3 2020, we received 90 million in dividends from CNN. We expect to receive dividends from both Seanna and Boardwalk during the fourth quarter. We repurchased five point four million shares of Loews Common stock during the quarter at an aggregate cost of one hundred and ninety five million. We purchased an additional six hundred and sixty seven thousand shares since quarter end. Those ended the quarter with three and a half billion in parent company cash investments with cash and equivalents accounting for over 80 percent of the portfolio. Let me now turn the call back to Mary Skafidas.
A - Mary Skafidas: [00:19:28] Thank you, David. Let's move on to the Q&A section of the call. We have a number of questions to respond to from shareholders. The first one is from for Jim. Jim, have you considered buying in the outstanding shares of CNN to take advantage of the discount in stock?
Jim Tisch: [00:19:50] So what was this always believed by having a public valuation marker for Ciena? It's really important, especially to our shareholders, on a very rough basis. CNN comprises about half of the value of loans, with the other half being our net cash. The are our assessment of the value of Boardwalk of Altium and our total business impact and maybe even beyond just being a marker. There are other reasons to keep CNN as a public company first, and being public is important to attracting top talent the top executives want and top executives in any company want at least a portion of their compensation to be based on the performance of the shares of their company and by being public and able is to provide that incentive to its top talent. Secondly, we think this is very important. The transparency that comes from being public is important to Sienna's regulators as well as the rating agencies. As everybody knows, I think the TNA trades at a ridiculously low valuation, and yet the P and C industry stocks likewise traded a crazy valuation. And finally, our share repurchases of low stock allows us to take advantage of the discount valuation that CNN is trading at, as well as the discount in those shares for its non C.M.A assets. Not our job, but to what we like to call a very significant double discount in our share repurchases.
Mary Skafidas: [00:21:48] Great, thank you, Jim. The next question has to do with the exceptional year for catastrophe losses in the insurance business. Jim, would you please discuss housing and the insurance industry are managing through these challenges?
Jim Tisch: [00:22:04] Well, Mary, you're certainly right, this has certainly been a banner year for cats and cat losses, not only for CNN but for the industry overall. There have been only four quarters over the past 40, 40 quarters where CNN has experienced net cuts coming in at or above one hundred and sixty million dollars, and two of those four quarters over the past 10 years occurred in 2020. FEMA through the through the third quarter are pretax cut losses were more than five hundred and thirty dollars million compared to just one hundred twenty eight million dollars last year. Even if you exclude the losses from covid and from civil unrest, which were roughly about two hundred and fifty million dollars, Sienna's year to date cut losses would still be running at more than twice last year's level and of course, well ahead of their plan. But despite these, these are really exceptional events and catastrophes, I'm impressed by how the PMC industry and also CNN are managing through it all. If someone had told me in January that 2020 would be filled with storms, fires, civil unrest and the pandemic, I would have told you that CNN would have a miserable year as a result. However, despite this litany of events, CNN is still quite profitable, with 400 million dollars of corporate income and 300 million dollars of net income through the third quarter. [00:23:54] And it continues to find profitable avenues for growth all the more so thanks to the hard rate market that the insurance industry is currently experiencing. Count losses come with the territory in the property tax to industry, and we believe that CMA is effectively managing its current exposure while also getting strong rate increases on CAD exposed businesses. So let me end this by adding one stray thought, the insurance industry has not hasn't always been financially prudent, and this is the advantage of being associated with a particular industry for over 40 years. I have a little historical perspective here. There were years back in the 70s, 80s and 90s when the industry did not have true capital discipline and they would write business at just about any price. Today, the industry is reacting to catastrophic events and low interest rates by getting rate increases where they are justified. In my view, this change is a result of an increased demand from equity investors for profitability, which has led to insurance manager management's increased focus on capital efficiency.
Mary Skafidas: [00:25:27] Great, thank you, Jim. Next question also has to do with DNA focusing on seniors long term business, Jim. Could you tell us if you your assessment of seniors, long term care business and the risks that it poses to CMA antelopes?
Jim Tisch: [00:25:45] Sure, as I said in my prepared remarks, CNN is long term care exposure is likely the biggest reason why CNN's valuation lags its peers. And as I also said, for the past seven years, CNN has been actively managing its long term care book of business in order to reduce risk and also in order to optimize results. Since 2015, Sienna's exposure to long term care has been materially reduced with the number of active policies declining by over 30 percent. Additionally, over the past few years, CNN has been able to further reduce its risk profile of its long term care block of business by achieving meaningful premium rate increases and also offering policyholders attractive options to reduce benefits in return for reduced future premiums being over Bustillo. Now, Moralez, on their call today focused on long term care. And I suggest that everyone review their remarks and look at the significant information on long term care that's posted on Sienna's website. Let me make two additional comments on the net reserve charge that CNN took in the third quarter. First, and really very significantly, a thirty seven million dollar net charge on a block this size is actually quite modest. And secondly, the charge was attributable to the historically low level of interest rates that we're currently experiencing with these latest estimated changes going forward. CNN is assuming that a 10 year Treasury note will trade at slightly over one percent three years from now and likely likewise in 2013. CNN is assuming that the 10 year note will yield what historically is a paltry two and three quarter percent, in my opinion. FEMA is taking a very, very conservative view on future interest rates, which hopefully means that they won't have to adjust for lower interest rates again going forward.
Mary Skafidas: [00:28:17] Thank you, Jim. The next question also staying on the CNN topic, dazzlers expect to get a special dividend from CNN.
Jim Tisch: [00:28:28] So we still have a quarter to go in 2020. So it's really too early to be making any specific comments about whether or not CNN will pay a special dividend. It's been an extraordinary year for cattle losses, that's for sure. I can't speak for the CNN board, which hasn't had a discussion about special dividends. And we still have four months to go until the board actually makes a decision on special dividend. So I guess we'll just have to wait and see what happens.
Mary Skafidas: [00:29:07] Ok, we're switching to Boardwalk, the shareholder would like to know our growth projects slowing in the midstream space. Can you comment on that, Jim?
Jim Tisch: [00:29:20] Yeah, from everything the boardwalk is saying, it's very likely that there will be a slowdown. In fact, I would say we're in the middle of a slowdown for larger scale projects because our customers are moving out their final investment decisions. However, Boardwalk expects to continue seeing smaller growth opportunities with power and industrial customers, primarily due to a boardwalk pipeline's proximity to some of our industrial gas customers.
Mary Skafidas: [00:30:03] Thank you. The next question is for David. David, there have been several recent bankruptcies of exploration production companies. Can you please comment on the financial strength of Boardwalk's customers?
David Edelson: [00:30:16] Sure. Mary, thanks. Over the past several years, Boardwalk has focused on diversifying its customer base to include more end users such as power plants, industrial customers and LNG off takers, a strategy that proved beneficial this year. By diversifying in this way, Boardwalk's has been able to strengthen the overall credit profile of its customer base. More than 70 percent of boardwalk's revenue backlog is derived from investment grade companies and boardwalk at letters of credit or other types of collateral from some of its customers that are not investment grade or are unrated, which provide an additional measure of security. In 2020 and this year, one of Boardwalk's customers declared bankruptcy and another seems to be on the verge because of the credit protections in place for these customers and importantly, the ability to remarket any return capacity. These bankruptcies will not have a material financial impact on the company. Stepping back since the pandemic hit in mid-March, Boardwalk has maintained uninterrupted service to its customers while simultaneously taking measures to ensure the safety of its employees and its operations. At the end of the third quarter, Boardwalk had well over nine billion in contracted revenues, with over 600 million of net new contracts added to backlog during 2020.
Mary Skafidas: [00:32:04] Right, we have another question for our CFO, David. Can you provide an update on the cash needs of those hotels?
David Edelson: [00:32:13] Absolutely. And Jim already commented on it. But let me just provide a little more detail. When Lozado suspended operations at almost all its properties in the early spring. We estimated that negative cash flow would average around 25 million per month. We went on to say that Masra would reopen a property if doing so was expected to improve that property's cash flow. [00:32:44] Loews Hotels has responded to the pandemic induced sudden downturn by transforming its operating model, including dramatically reducing property level and management company expenses. As we all know, properties began coming back online during the second quarter. 13 properties resumed operations during Q2, another six during Q3 and one more hotel last week. As anticipated, Loews Hotels cash flow has improved as properties have resumed, operations expenses have been managed aggressively and capital spending has been right sized for the current environment. While the company continues to generate negative cash flow, it is significantly less than the 25 million per month cited in April. I'd be remiss in not mentioning how difficult the past eight months have been for those hotels, team members, thousands of employees were furloughed when the pandemic struck and less than half of the furloughed team members have returned to active duty. Early on, those hotels put programs in place to assist this affected team members, including a multi-million dollar relief fund as well as King, as well as continuing to provide medical insurance for furloughed employees for several months. Additionally, Loews Hotels has instituted enhanced safety and well-being standards and protocols for team members and guests. And as a reminder, in solidarity with all those hotels, team members being financially impacted by this crisis, all three members of our office of the president, Jim, John and Andrew Tisch, reduced their salaries by 50 percent as of April 1st and their bonuses by 50 percent for the entire year. Back to you, Mary.
Mary Skafidas: [00:34:51] Thank you, David. Staying with those hotels, Jim, this next question is for you. It's about hotels looking to buy or sell any hotels and how had covid impacted its development projects?
Jim Tisch: [00:35:05] So first, let me talk about those hotels with long term growth strategy. The company, as we've said before, is focused on growth in two ways. The first one, by investing in and developing hotels with built in demand drivers like it has done so successfully with Universal Studios and also in Arlington, Texas. And secondly, the company is focused on developing and operating hotels for the group business while the hotel recovery is currently powered by leisure travel. We really do believe that the corporate travel, along with meetings and events, will come back as a pandemic wave. But before the pandemic hits, most hotels have begun to evaluate their portfolio and to sell a few hotels that didn't align with the current growth strategy. And they continue to do so opportunistically, including one hotel that was sold earlier this year in Canada. At the start of this year, those hotels had three projects under development and scheduled for opening this week, this year. Two of those hotels, the line by Loews in St. Louis and the Kansas City Hotel have already opened in. The hotels are doing just fine in light of the current environment for hotels. The third hotel under development is the 2000 room and summer dockside in Suites, which is located in Universal Universal's Orlando theme park. This property is in the final stage of development and its opening date will be announced very soon. The hotel will be our Ace Hotel on the universal campus, and we'll bring our Universal Room down to nearly 9000 rooms or just about half of the total rooms in the Rose Hotel system alone. Hotels, they continue to remain focused on its strategy of developing hotels in markets that have unique built in demand generators and potential for group business.
Mary Skafidas: [00:37:41] Thank you, Jim. The next one is for you as well. Can you please comment on when you expect to see the hotel industry recover from the effects of the pandemic with Lozes? Would Loews Hotels this recovery lead or lag the industry's recovery?
Jim Tisch: [00:37:57] And I'm reminded of the old saying he who lives by the crystal ball, the fall to the ground glass, but all Sally forth anyway. Industry analysts believe that a full recovery is anywhere from two to five years in the future. But the truth is, a recovery in hospitality is highly dependent upon how and when the pandemic is contained at the end of the third quarter. As we said before, Loews Hotels had 21 hotels that had already resumed operations. Although there's been a steady increase in demand, occupancy rates still remain considerably below historic Norm. That's really important. Occupancy rates are still below historic norms. The recovery is currently being led by Lesia business and more than half of Loews Hotels assets that well into that category, such as our properties, the Universal Orlando campus, as well as other assets like the Lowes Miami Beach Hotel and a lot of biros in Arlington, Texas, which just hosted the World Series. We're seeing, in fact, a lot more driving business than we really ever seen before. Urban center properties are still lagging due to a reduction in corporate travel, but we believe a lot of hotels, properties with unique demand generators will recover more quickly than our urban properties.
Mary Skafidas: [00:39:39] Ok, thank you, Jim. And our last question is for David. David, how has covid-19 affected your packaging business? Altium, can you please give us an update?
David Edelson: [00:39:50] Sure. I mentioned this in my remarks, but let me go over it again. Demand for the company's products has been strong overall. There are certain products that benefited from covid actually product segments such as household chemicals, beverages and personal care. And there were others that were somewhat weakened by covid. Those would include automotive, commercial foodservice and school dairy, although I would point out that the weaker segments began to rebound in the third quarter. Two bright spots this year for Altium, our Invision, the company's recycling business, and Altium health care, a business created from recent acquisitions that diversifies Altmans with a growing pharmaceutical packaging market. And as I mentioned earlier, Invision has been experiencing its best performance since 2014. And as for Altium health care, it's exceeding expectations due to strong synergies, as well as continued progress on operational efficiencies and other savings initiatives. As a result, Altium health care is ahead of plan for the year despite covid-19. So I would say net. The company's overall results are running modestly above plan, a plan that was finalized pre pandemic. And I would go on to say that commercially, all Temes new business efforts have been very successful over the past few months. I think the company is winning new accounts by differentiating itself, by demonstrating reliability, continued innovation and customer focus during this difficult covid period. So we hope that this focus on new business in the new business wins should benefit financial results in future periods. Back to you, Mary.
Mary Skafidas: [00:41:57] Thanks, David. Thank you, David and Jim, this concludes the close call. As always, thanks to all of you for your continued interest. Please feel free to reach out to me with any additional questions at M Scafidi settler's dot com. A replay will be available on our website WLOS dot com in approximately two hours. Over to you to and the call.
Operator: [00:42:21] Thank you for participating in the Loews Corporation, third quarter, 2020 earnings conference call you now disconnect your lines and have a wonderful day.